Operator: Good day ladies and gentlemen, welcome to the NRG Energy Third Quarter Earnings Call. I would now like to turn the meeting over to Ms. Nahla Azmy. Please proceed, ma'am.
Nahla Azmy: Thank you, Pamela. Good morning and welcome to our third quarter 2008 earnings call. This call is being broadcast live over the phone and from our website at www.nrgenergy.com. You can access the call presentation and press release furnished with the SEC through a link on the Investor Relations page of our website. A replaying podcast of the call will be posted on our website. This call, including the formal presentation and question-and-answer session, will be limited to one hour. And now for the obligatory Safe Harbor Statements. During the course of this morning's presentation, management will reiterate forward-looking statements made in today's press release regarding future events and financial performance. These forward-looking statements are subject to material risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. We caution you to consider the important risk factors contained in our press release and other filings with the SEC that could cause actual results to differ materially from those in the forward-looking statements in the press release and this conference call. In addition, please note that the date of this conference call is October 30, 2008 and any forward-looking statements that we make today are based on assumptions that we believe to be reasonable as of this date. We undertake no obligation to update these statements as a result of future events. During this morning's call, we will refer to both GAAP and non-GAAP financial measures of the company's operating and financial results. For complete information regarding our non-GAAP financial information to most directly comparable GAAP measures and consecutive reconciliation of these figures, please refer to today's press release and this presentation. Finally, before get started, as you probably know on October 19, we received an unprecedented proposal from Exelon Corporation to acquire NRG. We issued a press release the following day confirming the receipt of the proposal stating our Board of Directors will review and determine the appropriate response in due course and advising our stockholders not to take any actions pending that review. Our Board is continuing to review the proposal. With that said, please keep in mind that the purpose of today's call is to discuss our third quarter performance and that we'll not be making any formal remarks nor commenting on any aspects of Exelon's proposal until an official Board response have been issued. We ask that the questions be focused on third quarter performance. And with that, I would like to turn the call over to David Crane, NRG's President and Chief Executive Officer. David.
David Crane: Thank you Nahla and good morning everyone. Today I am joined here by Bob Flexon, our Chief Operating Officer and Clint Freeland, our Chief Financial Officer and they will both be giving part of today's presentation. Clint will be giving the lion's share of today's presentation. Also with me and available to answer questions here are Mauricio Gutierrez, our Head of Commercial Operations potentially not answering question is Mauricio plus Drew Murphy, our General Counsel. Allow me to get started. Ladies and gentleman in this world and in the marketplace searching for good news we are here today to bring you some. Today we are announcing record safety performance, record operating performance, record achievement by FORNRG which is our internal improvement program and what it all adds up to is record financial performance as manifested in a $100 million increase in full year 2008 EBITDA guidance. And that also translates into record liquidity passing out at over $3 billion. And again Bob is going to talk about how we achieved all this and I really have only one comment that I want to make before I hand it over to Bob and that's this; this is the 20th quarterly earnings call in the history of the new NRG and many of you on the phone have been with us through the whole time. However as a result of the recent acquiring initiatives some of you on the phone may just be getting acquainted with the company. What you need to know is that this company was born at the last down turn in the electric industry back in 2002, 2003. That experience had formed the type company that we set out to be. We sought to build a company that would be both nimble enough to capitalize on the extraordinary attractive value enhancing opportunity that periodically arise in our industry. But also solid enough to withstand the down cycle that can do such damage in an industry which is both capital intensive and multi-commodity price driven to a company that gets it wrong and by getting it wrong I mean either getting your capital structure wrong or your commodity strategy wrong or worse of all both. As a result of who you are and where we came from, over the past five years we have resisted the temptation to over lever our balance sheet as some call upon us to do particularly in the wake of the TXU going private transaction. We've refused many times in fact to chase acquisition at excessive price levels and we have rejected complaints by various observers during the last commodity price up cycle that we should reduce our base load hedging activity and stay open to the market, an arguments that was made to us on the basis that we would not realize the full benefit of the commodity price upswing. Now after a couple of years of relative plenty and by that I mean rising gas pricing, rising heat rates, and cheap capital, we find ourselves in a challenging environment. An environment which is fair to say considerably more challenging than anything that we are or anyone else seems to have ever contemplated. We obviously find the current market environment less attractive than twelve to eighteen months ago, for instance. But it has provided a real life test of the robustness of our business model. It's hard to recall now but fittingly natural gas prices peaked on the last day of the second quarter of this year. So the third quarter has been the first full quarterly test of our robustness, and as such I am extremely gratified by our quarterly results, and the position we find ourselves in going into the balance of the year, from the point of view of full financial performance, liquidity, and operating and commercial performance. This exceptional company performance is the direct result of and attribute to the exceptional professionalism of all NRG operational and commercial personnel, in all functions and in all regions. Now as we all know, one successful quarter and down market does not guarantees future success, but I believe that a vivid real life demonstration of the type of above expectation performance that we have delivered to our shareholders over the past twenty quarters, and the type of performance we will continue to deliver in the future. In my opinion this is what makes NRG a breed apart. Bob?
Robert Flexon: Thank you, David. Beginning on slide 7, I have provided a summary of the primary operational and commercial highlights for both the quarter and year-to-date, and following up on David's opening comments and consistent with the company's overall performance result this quarter and hear from our operations group and our commercial team is also their best ever all around performance since our beginning in December of '03. Our 2008 safety performance improved dramatically from 2007 which had already achieved a performance level significantly better than industry average. Equivalent availability factors or EAF for the coal base flow generation portfolio reached an all time quarterly high at 95.4% bringing the year-to-date EAF up to 91.1%. I also want to take this moment to recognize our world class nuclear operating team at STP. The STP facility which has earned more honors than any other U.S. nuclear power plant has, for the third time received the industry's top honor. On May 7, 2008 STP received the industry's top honor, the B. Ralph Sylvia Best of the Best award. STP is the only received winner of this award. In addition during the past four years, STP's track record of avoiding unplanned shutdowns for two units has allowed us to produce more power than any of the other 32 to reactive plants in the nation. The other highlight I would point out is the continued progress made in achieving our FORNRG $250 million pre-tax income improvement goal. As of September 30, 2008 improvements realized to date combined with our completed initiatives that will benefit the fourth quarter performance will lead to our exceeding the $250 million goal by year end. In a moment I will provide information and target for FORNRG 2.0 which is scheduled to kick off on January 1, 2009. Slide 8 provides a further look at our year-to-date safety performance for coal inventory position at September 30th, and the quarterly and year-to-date generation. In addition to my opening comments on facing our year-to-date performance as benchmarked across fuel generators is just below our performance goal of deciles. Reportable incidents through September 30, was 22 versus 40 during the same period last year, a 45% improvement. While this clearly is exceptional performance we're not stopping here and we'll continue to pursue in accident free environment. Total inventories declined during the quarter to an average of 37 days on hand at September 30th. Declines primarily relates back to the second quarter when lower inventory levels at Big Cajun II and WA Parish facilities resulted from rail and barge disruptions during the quarter in connection with the Midwest floods and high water levels on the Mississippi. And also supply interruptions in September caused Hurricane Gustav. All shipping routes have returned to normal operation and inventory levels are building. The generation decline in Texas and South Central region was largely attributable to the impact of Hurricane Ike in Texas and Gustav in Louisiana during September. Generation from the Taxes gas plants was impacted by low demand resulting from wide stretch transmission outages. The baseload generation in South Central was lower in September, as transmission out of the plant was restricted due to the line outage. The financial impact to the company at both resulted in lost revenues and opportunity cost as well as higher maintenance expenses in the $15 million to $20 million range. Lower generations for the quarter in the North East was a result of declining natural gas prices coupled with higher coal cost, that lead to reduced runtime at our Indian River and Summer Set plants. Slide 9 updates our commodity hedging position. With high levels of commodity price volatility during 2008, there is an opportunity throughout the year to lead significant amount of power and power equivalent hedges dating up to 2013. During the third quarter 18.3 terawatt hours of power hedges were added bringing the total for the year to 53.4 terawatt hours. The addition of these hedges is inline with our hedged fuel position, appropriately locking in gross margins. Additional coal hedges have also been added during the course of 2008 for the forward five year period. The right hand side of the slide provides the gross margin sensitivity the portfolio will have to changes in the natural gas prices. And heat rate on an equal probability basis through 2013, considering 2009 hedge levels this variability of our base load gross margin during 2009 is expected to be limited. In executing our hedging strategy our lean program remains the center piece that allows us to efficiently hedge longer term power and power equivalent positions without the liquidity risk, traditional cash intensive hedging requires. Slide 10 illustrates the hedging capacity under the lean structure which is a function of available capacity rather than a dollar driven limitation. We are lean positioned against the assets for half of the money hedges of September 30, 2008 and October 23, 2008 was approximately $421 million and $187 million respectively. On the right hand side of the slide is our counter party risk grouped by ratings and type of counter party. We manage our credit risk by utilizing a number of different risk mitigation methods, purchase credit limits, netting agreements, collateral of threshold, volume metric limits, and counter party diversification. Counter party interest in participating in our lean structure remains strong and we recently converted a second lean participant to first lean status that resulted in a $75 million letter of credit posting being returned to the company. Slide 11 provides a high level look at the market practice influencing natural gas, heat rates, and their cost and coal. While near-term energy and natural gas prices have been under pressure of late we remain bullish on our longer term outlook for natural gas prices. Active supporting our view include NRG imports to the U.S. have declined significantly in 2008 compared to 2007 and 2006. With global NRG prices significantly above U.S. prices; we don't expect a shift in this trend in the near term. Environmental and permitting trends are driving higher demand for natural gas as an energy source over coal and oil and the supply side is faced with rising exploration, production, and financing cost. Published reports put the margin of cost including capital return for unconventional gas sources in excess of $8 per million DTO. In addition declining natural gas prices coupled with the ongoing seizure of credit markets has resulted in announcements from producer's scaling back capital budgets for 2009 in excess of $6 billion. Many of the unconventional producers are sub-investment grade and rely heavily on capital markets to fund projects. Heat rates in our cost have been under pressure of late due to the combination of new generation and reduced liquidity in the market place. This combined with the current state of the financial market is resulting in the delay for cancellation of new build projects including transmission that otherwise would increase supply. Longer-term and post recession, reserve margins should tighten quickly in a recovering market with the corresponding strengthening of heat rates. PRB as our primary solid fuel source continues to be a significant cost advantage for NRG as compared to the cost of other domestic coals. Performance for our PRB coal and real transportation providers has been excellent during 2008 reflecting the benefits from infrastructure investments made by all parties. Our latest milestone as shown on slide 12 is the achievement of our performance improvement goal originally targeted for December 2009 subsequently accelerated to December 2008 and now virtually locked in at September 30th. FORNRG has improvements in place that bring our total contribution by December 2008 in excess of our $250 million goal. The history of our progress is on the top left side of the slide. While this has been a company wide efforts of contribution from our operations group, corporate, and regional offices and procurement. I finally did feel the operational improvement as example of the accomplishments achieved under the banner FORNRG 1.0. Our drive and determination to improve how we operate has yield valuable learning that will benefit our team for years to come while contributing to the record setting here. What's next with FORNRG is covered on slide 13, we're preparing for the January 1, 2009 launch the goal of FORNRG 2.0. The goal of 2.0 is an increase to our return on invested capital by an incremental 100 basis points over the next 4 years. This equates to approximately a $150 million in higher pre cash flows upon goal achievement. In pursuing this goal, we will use what we learned from our FORNRG 1.0 experience and capitalize on additional opportunities that we make. Our scope will broaden comprehensively address the three primary growth drivers, revenues, expenses and invested capital. Highlighted on the slide are the areas where our initial efforts will be directed. Moving all of our base load planned performance levels to top decile from quartile which FORNRG 1.0 will accomplish will provide roughly one third of the FORNRG 2.0 goal. Finally slide 14, details our operating mission in which we see, our goal of being the premier merchant portfolio operator. Our definition of premier is top decile safety in operating performance Add to that our leading capabilities in commercial operations and risk management and the picture comes into focus why we're able to deliver exceptional performance and record results during such a difficult economic climate. At this time I will turn to Clint for the third quarter financial review.
Clint Freeland: Thank you Bob. At no time during the almost five year history of the new NRG; have we seen our experience to more challenging, operating, and financial environment than during the four month period since the end of the second quarter. Despite financial market dislocations, general economic slowing, and major hurricanes hitting two of our core business regions, NRG steadfast commitment, proven balance sheet management, robust liquidity, risk management, and operational excellence enabled the company to deliver record quarterly adjusted EBITDA, record year-to-date adjusted EBITDA, record earnings and a record level of total liquidity as outlined on slide 16. NRG's previous record quarterly adjusted EBITDA was achieved during the third quarter of last year, but results for this quarter exceeded it by 7% which in turn led to record year-to-date results as well. At the same time, the company's total liquidity rose by $432 million since June 2008 or over 17% as cash from operations and net counter party collateral movement boosted total liquidity to over $3 billion equivalent to almost 50% of NRG's current market capitalization on a fully diluted basis. The exceptional financial performance during the first three quarters has put NRG on track to exceed previously announced adjusted EBITDA guidance of $2.3 billion for the year. Given the significant hedge position and related earnings visibility for the fourth quarter, NRG is raising its full year adjusted EBITDA guidance by $100 million to $2.4 billion. As has been customary for NRG on its third quarter's earnings call, we are also initiating adjusted EBITDA guidance for 2009 today at $2.2 billion. While this is lower than what we ultimately anticipate for 2008, it is flat to our initial guidance provided to investors this time last year for full year 2008. Additionally, today we are providing an outline of NRG's 2009 capital allocation plan which is highlighted by further debt reduction, lower re-powering investments in 2008, and continued return of capital to shareholders which at this time is targeted at $300 million. So, the story for this quarter is simple, NRG's unwavering commitment to prudent capital management, proactive hedging, and safe and reliable planned performance demonstrated its value this quarter enabling NRG to deliver record performance even in the midst of dramatic financial market disruptions and economic deteriorations. Moving to slide 17, adjusted EBITDA for the third quarter totaled $758 million, a 7% increase over 2007 record quarter, primarily due to improved results in the company's Texas region. Despite flat base load and lower gas plant generation, energy margins in Texas actually rose by $52 million as the company's hedged base load power prices in 2008 were higher than prices realized the previous year which included lower price legacy power contract inherited in the Texas Genco transaction that was not reset in 2006. Capitalizing STP 3 and 4 costs in 2008 versus expensing them in 2007 resulted in a $35 million reduction in regional development expense during the quarter and this offset somewhat by higher O&M expenses accounted for the balance of the quarter-over-quarter improvement. Despite being hit by Hurricane Gustav in September and seeing meaningful transmission disruptions as a result, NRG's South Central region recorded a $4 million increase in adjusted EBITDA from $42 million in 2007 to $46 million in 2008. An increase in the value of power contracts in the region more than offset lower Big Cajun II generation, resulting from transmission constraints after the hurricane which limited the amount of power the facility could deliver to the grid. Adjusted EBITDA for NRG's Northeast region decreased $11 million quarter-over-quarter from $204 million in 2007 to $193 million in 2008. Lower base load generation at Indian River and Somerset, reduced gas plant generation across the fleet, lower contract margins, and weaker capacity revenues during the period more than offset the benefit of higher emission sales and operating cost reductions. The $25 million unfavorable variance illustrated in the corporate column of this slide is mainly comprised of a $19 million write down of two previously disclosed commercial paper investments which became distressed last year, one of which was restructured during the most recent quarter. Before turning to the year-to-date results, you may recall that the company reported a $713 million mark-to-market loss during the first half of the year as the sharp run up in natural gas prices adversely impacted the value of certain positions in our hedging program. As shown on this slide, that mark-to-market loss more than reversed in the third quarter as natural gas prices retreated, leading to an $826 million mark-to-market gain. For further detail on the various components of these gains we have included a slide in the appendix of this presentation for your reference. Slide 18 reflects NRG's year-to-date performance. In each of the first three quarters of the year, NRG reported year-over-year increases in adjusted EBITDA resulting in a record year-to-date total of $1.966 billion up 13% over 2007. While each of the company's regions stepped up and made a disproportionate contribution at different times throughout the year, the primary driver of this improvement is NRG's Texas region where adjusted EBITDA increased $261 million over the previous year. While flat during the first quarter, the Texas region outperformed 2007 during the second and third quarters, as exceptional base load plant performance, higher realized merchant energy prices, and advantages hedge positions came together to drive the region's results for the year. The region also benefited from $22 million in emission sales in 2008 while development expenses decreased by $81 million as STP 3 and 4 costs were capitalized during 2008 instead of being expensed in 2007. Slide 19 shows NRG's cash flow generation during the first nine months of 2008. Cash flow from operations increased $65 million from $976 million in the first nine months of 2007 to $1.041 billion for the first nine months of 2008. But if we net out the impact of cash collateral movement to see the true cash generation of the business, cash from operations rose 26% from $1.083 billion to $1.361 billion. Virtually all of these year-over-year increase in cash from operations excluding collateral can be attributable to strong adjusted EBITDA results and improved working capital levels. NRG's free cash flow for the nine months ended September 30, 2008 was $384 million compared to $626 million in 2007 as both environmental and re-powering investments accelerated. The year-over-year increase in environmental CapEx is related to the back end control projects that are at Huntley and Dunkirk locations while the re-powering investments will primarily focus on wind developments including Shelbina I and Elbow Creek wind farms in Texas, Cedar Bayou 4 combined cycle gas plant outside of Houston, and a Cos Cob peaking facility in Connecticut. Re-powering investments also includes continued investment in the STP 3 and 4 initiative which is recorded net of the $50 million contribution received from our partner, Toshiba. Moving to slide 20, NRG's robust and diverse liquidity program remains a differentiating factor for the company. NRG is in an enviable position of having the liquidity and cash generation profile to be self funding and therefore self sufficient enabling the company to continue executing its strategic plan, during this period of financial market disruption. As outlined here, total liquidity at the end of the third quarter stood right over $3 billion, up $432 million since June 30th. This increase was attributable to a $222 million increase in cash balances resulting from strong cash flow from operations and a $207 million increase in letter of credit capacity resulting from the return of LCs previously posted in support of commercial operations activity. As I mentioned earlier, NRG continues to perform exceptionally well through the third quarter and this together with the earnings visibility associated with our hedge position for the rest of the year enables us to increase our 2008 guidance by $100 million to $2.4 billion as outlined on slide 21. Despite this improvement in adjusted EBITDA, cash flow from operations is expected to remain virtually flat as higher cash collateral requirements for the year offset the benefit of higher earnings. I would note however, that as commodity prices continue to weaken, this net collateral out flow may diminish which would in turn benefit cash flow. Projected cash flow from operations exclusive of collateral movements increased by $114 million from our previous guidance. We expect higher interest expense for 2008 as a result of the $45 million CSF1 call option settlement during the quarter and anticipate higher cash taxes resulting from increased earnings. The impact of these items to cash flow from operations should be minimal though due to offsetting improvements in working capital. While projected cash flow from recurring operations remains virtually unchanged. We expect our free cash flow to increase approximately $82 million due to reductions in our re-powering investments primarily related to delays in our... project. So, as we look out to rest of the year, we expect to see continued strong free cash flow from recurring operations before environmental and re-powering CapEx. And at yesterdays closing share price of recurring free cash flow yield of approximately 24%. As we move towards 2009, we have updated our forecast and the results are outlined on slide 22. Our initial adjusted EBITDA guidance for next year is $2.2 billion which is lower than expectations for full year 2008, primarily due to four factors, our expectations of less volatile natural gas and power prices, incremental cost related to REGE compliance in the Northeast, lower emission credit sales, and weaker New York capacity prices. As we've previously disclosed, NRG's cash tax rate is anticipated to rise to approximately 30% of forecasted pre-tax income. Net of available tax loss carry forwards which accounts for the meaningful increase in expected cash taxes for the year. These factors combined with slightly higher cash interest expense associated with the repayment of the CSF2 financing result in cash flow from operations guidance of $1.3 billion. Given the volatility that we've seen this year, in tax collateral postings, we've decided to remove collateral movements from our cash flow guidance and instead focus on the underlined cash flow generation of the business absent the cash flow timing impacts of margin fluctuation. Free cash flow from recurring operations after $255 million in maintenance CapEx and $33 million in preferred dividend remained strong at $1.012 billion and will provide the company with the capital to internally fund $256 million in environmental CapEx, primarily the completion of backend control project that Humly [ph] and Dunkirk and increased backend spending at Indian River. Environmental capital projections may vary in response to changes in clear litigation or other legislative actions. The free cash flow from recurring operation will also fund NRG's $118 million in re-powering investments, net of partner contributions, anticipated construction financing, and equity sell downs. Re-powering investments include completion of Cedar Bayou, initiation of the Connecticut... projects with our partner United Illuminating and final payments on one set of GE wind turbines. Our forecast assumes that continued investment in STP 3 and 4 nuclear project will be managed on a cash neutral basis to NRG. This re-powering investment forecast includes only those projects that the company is currently committed to. Any other investments are considered discretionary at this point given the current state of the capital markets and will be carefully considered before adding them to the capital budget. As slide 23 outlines, the robust cash flow generation of the company coupled with the proceeds from the sale of our ITISA asset earlier this year has enabled NRG to achieve record levels of liquidity while remaining on track with its capital allocation program. In addition to the CapEx investments I spoke of a moment ago, NRG remained balanced in its approach to returning capital to investors, returning $202 million to debt holders in 2008 and $217 million to shareholders, as part of it $300 repurchase commitment. Additionally NRG settled the call options related to the CSF 1 financing during the third quarter for a total of $45 million. As we look forward to the rest of 2008; we intent to complete our capital allocation plan for the year with an additional $30 million in share repurchases, assuming we have an open window before year end. As we look forward to 2009, we intend to pursue the investments in our existing fleets and re-powering initiatives that I outlined a moment ago. We also anticipate further de-levering of the balance sheet in the first quarter of 2009, as we offer our personal lean lenders as required under our existing credit agreement, 50% of the excess cash flow generated by the company during 2008. Given the current trading level of that debt we expect lenders to accept the entire amount which will be determined when we close the books for 2008. Historically, when sizing our annual share repurchase programs we've targeted 3% of the market capitalization of the company which equated to approximately $250 million $300 million. Given the significant decline in the company's share price recently however, the 3% target would be closer to $150 million. Considering our current level of liquidity, projected cash flow in 2009 and compelling share price though, we intend to again target at least a $300 million buyback or 6% of current market cap in 2009. We do however want to remind everyone that the commitment we have made is 3% and as such reserve the rights to return to the 3% target for periods beyond next year. So, as we look forward to the remaining months of 2008 and full year 2009, the prospects for NRG remains solid. While we expect financial market and general economic conditions to remain challenging for the foreseeable future, the company's relentless focus on prudent balance sheet management, robust liquidity, strategic hedging, and operational excellence has positioned the company to deliver outstanding 2008 results and a solid 2009. With that I'll turn it back to you David.
David Crane: Thank you Clint. And just as we finish the final pages of the slide there can particularly slide 25 it goes back to the theme that I started which was the theme of differentiation. I think this slide provides a fairly detailed review of what we believe differentiates us from other companies and I think this, together with our track record is demonstrated by this exceptional third quarter and year-to-date performance. When we put those two together, it'd all add up to quite simply and to coin a phrase is that NRG is the best investment available in power industry. With that before we open it for questions, I think Nahla has one more thing to say and then we will answer your questions.
Nahla Azmy: Once again, thank you for joining us on our call. I would like to remind you that the purpose of today's is to talk about our financial results for the third quarter of 2008 and to provide you with an update on our business and we ask that you keep questions focused on these results. We will not be taking questions on the Exelon proposal. In the interest of time we ask that you please limit yourself to one question with just one follow up. With that Pamela, we are ready to open up the line for questions. Question And Answer
Operator: [Operator Instructions]. Our first question comes from Nitin Dahiya of Barclays. Please proceed with your question.
Nitin Dahiya: Good morning.
David Crane: Good morning.
Nitin Dahiya: Clint, from a GAAP structure point of view, I mean obviously you have pretty moderate leverage and very solid liquidity which is great in this environment, but as you mentioned the market is pretty tough, could you share your updated thoughts on what your ideal GAAP structure looks like in terms of leverage and minimum desired liquidity and how that relates to any distressed opportunities that might come your way in terms of acquisitions?
Clint Freeland: Sure Nitin, I think at this point I don't know that we really view our optimal capital structure any differently than how we've expressed it in the past. We have maintained target net debt to cap ranges of say 45% to 60%. Obviously we're around the 50% level now, so we're very happy with that. On a debt to EBITDA basis, we looked at target around 3.5 times, maybe a little bit lower and that gives us optimal pricing on our first lane structure. So I think at this point we're happy with our capital structure targets. On the liquidity front, I think one of the things we have always said is that we believe for this business given the capital intensity and given the collateral requirements that we have here, there are optimal liquidity and we tend to focus on cash balances. It is somewhere between $500 million and a $1 billion in cash on hand. I would say that in the current environment though, I would say that I would tend to prefer to be on the upper end of that, which obviously we're very comfortably within this point frankly a little bit over.
Nitin Dahiya: And at this time in terms of any acquisition opportunities?
Clint Freeland: Well, acquisition... the present market environment in terms of the cost of debt is obviously one that's a factor in any acquisition out there. I think... presuming that you're talking about acquisition opportunities in the independent power space, I believe that every company but one has changed its control clauses that would require their debt to be refinanced and that's an expensive proposition that you have to take into account in M&A activity.
Nitin Dahiya: Thanks.
Operator: Our next question comes from Mr. John Kiani of Deutsche Bank. Please proceed with your question.
John Kiani: Good morning
David Crane: Good morning John.
John Kiani: I wanted to ask a question on the 2009 guidance you provided of $2.2 billion, can you give some additional color on the level of conservatism you used in driving that number, is that number a worst case scenario, is it more of a base case, how should we think about, what you used in driving that number?
David Crane: Sure, John. I guess, I would note a couple of things, but first of all as I mentioned just a moment ago the 2Q is consistent with what we guided too for 2008 and so.
John Kiani: Understood.
David Crane: We're having a terrific 2008. So, I wouldn't view it as say a capital or whatever. But the way that I think about the assumptions that are going into our guidance are really in two buckets, one is when we look out for 2009 relative to 2008 we are going to have additional REGE compliance cost in the Northeast. We are also seen weaker emission prices so our expectations for lower emission sales in 2009. We also see weakening New York capacity prices that also put some additional pressure versus 2008 and we do have some incremental planned outages next year and that's not a big number year-to-year but it is a number and when you start to add up those items that begin to add up. But I would also say that another thing we have to take into consideration is that we got 10,000 MW of gas plants mostly peakers and those facilities tend to do very well in times of high volatility gas power prices which frankly we saw in 2008. So, as we look to our 2009 and guidance for 2009, I think there is a level of conservatism in the amount of volatility that will see in gas and power prices going forward.
John Kiani: And generally speaking how much of the gas assets contributed, what are they contributing in '08. I know that second quarter was obviously exceptionally strong because of the heat rate position of the company and the gas assets. But in general what are they contributing in 07 and perhaps in '08 as well, can you give us some color on that?
Clint Freeland: John, I don't know that we have actually been specific on the individual pieces of our fleet, so I'm not really sure that I can give you a specific number range.
John Kiani: Okay and then just follow up question on development cost. Can you talk a little bit about how much development expense we see in either G&A or O&M on at least a near term basis? And then how much development expense is capitalized as well?
Clint Freeland: Yeah, I think John, when we look to 2008 and 2009, our development expenses are pretty flat, call it around $50 million. And really half of that or about half is actually very similar to G&A. We have certain teams like our EPC team, our wind team, but we have some teams in our region. And those expenses are included in development. So, I think just as proxy for 2008, 2009 call it somewhere in the neighborhood of $50 million about half of that is related to labor.
John Kiani: And that's in EBITDA?
Clint Freeland: Yes.
John Kiani: And then what about from capital perspective, what's capitalized?
Clint Freeland: Well, the only portion that we are capitalizing on... I guess what you would think of as development expenses are cost related to or some of the G&A related to our STP 3 and 4 development. The rest of it I guess would be related to project cost on projects that are already in process.
John Kiani: Okay, did you have a ballpark dollar amount for that or --?
Clint Freeland: I don't at this time, John we will get back to you on that.
John Kiani: Okay, thanks Clint.
Operator: Thank you. Our next question comes from Anthony Cotto of Jefferies. Please proceed with your question.
Unidentified Analyst: Hi, good morning. Just two questions, I think previously you guys had given an open EBITDA slide base on the forward commodity curve. I didn't see in the presentation that if you had it? Second, in all the quarters, you've given a Houston zone to Henry Hub clearing heat rate and you have a graph of where they are. If you don't have the graph do you have the numbers of where the current heat rates are in the Houston zone?
Clint Freeland: Yes Anthony. Do you want the specific number for 2009 and 2010 or actual clearing heat rates?
Unidentified Analyst: Actual clearing heat rates will be great.
Clint Freeland: Okay. For 2008 and this is normalized to Henry Hub I will give you around the clock heat rates.
Unidentified Analyst: Great.
David Crane: So, for July we saw in 807 [ph] heat rate, August 964, and September 571. Keep in mind that September has been effected by hike and the lack of call load. So, you know you are going to have some normalized number for normal weather conditions.
Unidentified Analyst: Again, this is Houston zone to Henry Hub around the clock.
David Crane: And Clint is going to answer your question about the market EBITDA volume.
Clint Freeland: Yes Anthony, we provided the open EBITDA analysis in the first quarter, particularly at mid year because gas prices and commodity prices were so out of lag or so high relative to where our hedges were that it actually became a very meaningful analysis. Now that commodity prices have come back and you can see that in the kind of net derivative positions that we have on the balance sheet, you can see that our mark-to-market has completely reversed into second quarter, I think a lot of our positions are now, more in line with the market. And so, we haven't included an analysis of open EBITDA because we really didn't think that it was meaningfully different and than what results and forecast would show.
Unidentified Analyst: Alright, thank you.
Operator: Thank you. Our next question comes from Elizabeth Parrella of Merrill Lynch. Please proceed with your question.
Elizabeth Parrella: Thank you. Clint you mentioned several factors that are weighing on the 2009 outlook and there is also the positives on the projects coming on. Can you give us some ballpark sense of how much each of those is worth in terms of the impact negative positive on the 09 EBITDA?
Clint Freeland: I think Elizabeth, when I think about the REGE compliance emission sales, Northeast capacity prices, and planned outage schedules, you might think on the order of I don't know maybe $75 million to $100 million all totaled. Now there are certain assumptions around all those but I think that's kind of ballpark. I think historically the estimate that has been out there for NRG's gas plants EBITDA has been somewhere on the order of 150. I think that's kind of the number that's been used out there before. So, I think kind of taking those two together would probably get you in the ball park of what we are talking about. Then you have like you said some uplift from safety to value coming online and Elbow Creek coming online and so, that I think would get you in the ball park of kind of where we are.
Elizabeth Parrella: And it sounds like you're assuming a much lower EBITDA in the gas plants in 09 than what you have experienced in 08?
Clint Freeland: I think we're just being very conservative. I mean, given the level of volatility that we have seen in 2008, I certainly wouldn't want to guide to that similar level of volatility in 2009.
Elizabeth Parrella: Fair enough. On the retailing CapEx for '09, I think it was $118 million on a net basis. I think you said there is some offsets in there and some project financing go down, partner contributions etcetera? Given the capital market situation, could you talk to that on a growth basis, what are the bigger key that are getting the number down to 118?
Clint Freeland: Sure, first of all one of the meaningful assumptions here and just how we anticipate running our business around the investment is that STP 3 and 4, will be run on a cash neutral basis. Right, so there is no meaningful impact on the cash side of our guidance related to that. So, taking that aside there really are just a handful of projects, now given that we will finish up with Elbow Creek at the end of this year that going into 2009 we have Cedar Bayou 4 which we will complete by mid-year. We have a 50-50 partnership on that. So, I think the partner contributions really relate to that investment. On UI, we obviously have a partner there as well. But we also anticipate given that this is a close by regulated 30 year PPA contracts that the due diligence that we have done to date and the financing sources that we talked to you today, we believe that even in the current environment, that reasonable financing will be available for that. And then, finally the set of turbines that we have on order that was making final payments on in 2009, that's just... there is no financing associated with that. So, I think when total all of those projects up that's where we come out with net of about $118 million for the year.
Elizabeth Parrella: Okay, and then, just one follow-up question on cycle, you mentioned that, in terms of $e30 million remaining that you look to complete this year, that is with respect to the 08 capital plan, assuming that there is a window. Can we assume that the window is closed as long as the board is reviewing the Exelon offer and somewhat related question, anything to stop you from getting a. head start on the 09 program given the size of your key basket at the end of December?
David Crane: Why don't we ask Drew to give you the official response on that.
Drew Murphy: During the pendency of the Exelon offer while the Board is reviewing it, we would not anticipate being in the market for a share buyback.
David Crane: And Elizabeth, to the second part of your question, there's nothing that would preclude us, assuming that we had an open period, there's nothing that would preclude us from beginning the 2009 capital allocation plan before year end.
Elizabeth Parrella: One last question. I apologize. Clint, what is the RP capacity under the bank deal at the end of the quarter?
Clint Freeland: It's still a 1.10 billion and the reason for that is that it is actually calculated once a year although we have the option of doing it intra year, we just haven't exercised that option. So, as it stands right now it's a little bit over $1 billion.
Elizabeth Parrella: Thank you.
Operator: Thank you, our next question comes from Dan Eggers of Credit Suisse. Please proceed.
Dan Eggers: Good morning.
Clint Freeland: Good morning Dan.
Dan Eggers: On the positive outlook for natural gas, particularly from these levels, and you have made that strong argument for that, can you just give a little thought on looking at the ledges where you guys had them today, the potential and I know you want to keep visibility with this, but opportunity to maybe unwind some of those hedges and ideally reset them at a higher gas price environment?
Clint Freeland: Dan, that was little bit difficult for us to hear you but, we did hear the word where you asked us whether we be interested in unwinding our hedges and I can show you without even turning it over to Mauricio. We absolutely is not going to answer that question. So if there was second part of your question, we will be happy to answer that or you have got a freebie if you want to ask another one.
Dan Eggers: That was the bulk of what I was trying to get at whether you were looking at a hedge reset at this point in time. But since I have got a freebie, can you just walk through the thought process right now as you guys are evaluating future projects in re-powering NRG as far as how you're thinking about the cost of capital and the needed returns on those projects to date versus what we've saw in the past? And how do you think about prioritizing use of cash particularly as we are still facing some limitations on the RP basket?
David Crane: Dan, there are couple of things because it's very good question obviously and while in the current environment we've taken long hard look at the re-powering program. As Clint, has mentioned one definitely trend is that to the extent that we already had a heavy bias towards project with long-term of take agreements with load serving entities, that bias is even far more pronounced now. So, we're definitely not cutting out deals like the one that we just won in Connecticut, where Connecticut lines power will off take a 30 year... 30 year off take basically a cost of service, recovery basis. So, we will continue with that and certainly anything that would just where we might have considered with the small to medium size projects in the past getting started on the balance sheet, that's just not going to happen. And we basically show while we kill that idea, choke off funding to that. We would like to continue and as Clint mentioned have budgeted approximately $50 million for 2009 to continue with a wide range of developments around the industry, around the country, and various different technologies because certainly one of the things that happened because of this financial crisis is its obviously killed off and will be killing off any supply side response what was a tightening reserve margin in the past. There is going to come a time when this situation recovers; where there is going to be even more immediate need for extra capacity and we want a position this company so we are ready to spring at that time. And the amount of money that is spend in terms of true development, were as long as you are not putting metal on the ground it is very much money well spent. Getting prepared for that what will be a sudden turnaround. The final point which is one that has been much discussed internally is in this new environment what are we looking for in terms of hurdle rates, cost of capital, and the like. And in general terms, I don't know if Clint wants to be more specific to this, we have absolutely clearly increased our hurdle rate in terms of any types of new investment. Have we actually ratcheted up to what it would actually cost right now on this day in October 2008 for this company to go out and raise capital? I think it is fair to say that when we think of the projects that would return money over the next 10, 20, or 30 years we're assuming some degree of normalization because if we actually looked at our true cost of capital right now for new money would be so high that... that you just wouldn't do anything.
Dan Eggers: I guess is that item... Clint, how much CapEx of projects under construction right now will need to be spend beyond 2009, the kind of the growth CapEx and the '09 budget, how much more are we getting to spend to get those projects in service?
Clint Freeland: Yes, I think the only projects would be UI. Excuse me, I am sorry. The peaker projects in Connecticut, in 2009 we have budgeted I think on an equity basis about $7 million to $10 million in equity contributions, you probably have another $40 million beyond that.
Dan Eggers: Okay, thank you very much guys.
Clint Freeland: Thanks, Dan.
Operator: Thank you. Our next question comes from the office of Lasan Johong of RBC Capital Market. Please proceed.
Lasan Johong: Thank you, good morning. Quick question on your 09 fuel position of base load, it's 104% of expected production. I'm wondering what you're going to do with that excess 4%, are you estimating or thinking to maybe sell off that potential base load or is that a strategic initiative to may take advantage of lower fuel prices, could you kind of give us little more color on them?
Clint Freeland: Well, I think the way look at it is just building inventory at certain locations. So it is just more managing our inventory levels to where we want them. So it was just with an intention to build in certain locations.
Lasan Johong: That's a physical accumulation of cost not financial contract.
Clint Freeland: Yes.
Lasan Johong: Okay, good. The other question, real quick was in the current environment where lot of the financial players are kind of dropping off the wage there in terms of hedging activities, are you seeing any increased spread due to counter party risk clash liquidity issues?
Mauricio Gutierrez: Lasan, this is Mauricio. Well, I mean we have kind of been in the market looking at these hedges. So the visibility that we have on actual expectation I can talk about it. What we have seen is an increase in credit cost and just in general transaction cost. I think in this environment the standard parties are increasing there with premiums to where the risk that we want to offload from our books. In the short term I am going to say,... 18 months. We have seen decreased liquidity but nonetheless the markets have not completely gone away. And we've been able to optimize our portfolio.
Lasan Johong: I appreciate it, thank you very much.
Operator: Thank you. And our next question comes from the office of Michael Lapides of Goldman Sachs. Please proceed.
Michael Lapides: Hey guys, congrats on a great quarter. Capacity market questions. First, can you just kind of give your view on what you see short term meaning 2009 from the New York capacity markets and then long term? And then second, can you talk about the perk decision that is weak on Iceland, New England and how it's going to compensate some of the existing generators. I remember that in the first round of FCM you had one or two assets that a lot of questions came up regarding how to be treated in that FCM versus RMR?
David Crane: Well, Mauricio, you want to?
Mauricio Gutierrez: Sure, Michael maybe I guess Clint, already talked about our expectations for New York, I think that's reflected on the guidance that we're providing today. We expect to see some pressure on New York giving the mitigation procedure or methodology that working specific earlier on this year. So, I would say that like with any other of our commodities we actively managed the risk. We are somewhat sketched in 2009 in New York City and somewhat in rest of the states. So, that should mitigate some of the downward pressure that we are seeing in New York City.
Michael Lapides: Okay, can you address the New England capacity market issues at the FERC, that the FERC addressed this week?
Mauricio Gutierrez: I mean, right now, we have a... as you know, we're in a transition payment period through 2010. After that, FCM kicks in. I will have to get back to you on specifically what will be the impact on the FERC order.
Michael Lapides: Okay. Great. I would be happy to set up a time off-line. Appreciate it, guys.
Mauricio Gutierrez: Thank you, Michael.
Operator: Thank you. Our next question comes from Annie Tsao of AllianceBernstein. Please proceed now.
Annie Tsao: Good morning. My question has to do with your CapEx program on slide 30. If the financial crisis continue how should we think about your 09 CapEx in terms of would you delay some of the CapEx that you have here, because I notice from the second quarter of your CapEx, you lay out the total is about $1 billion in 08. Now, you have I think it is about 9% decline in the re-powering NRG program that you're trying to cut. So, if the prices continue, would you be decreasing your re-powering program or you'll be delaying other programs?
David Crane: I think that what you're seeing in terms of the re-powering program is a slimmed down version in response to the current situation. I don't think that continuation of the crisis at the current level would change that in any significant way. In terms of the overall capital spend particularly in this environment could really at all time that NRG it is pretty much Annie, a continuous process. We are reviewing all capital spending and going what is necessary to obviously to be in environment compliance and to maintain the plants in a way that they can produce the type of operating performance that we have produced this year. So, I think I will welcome Clint or Bob to jointly say that we don't see much room to reduce the CapEx below the level that we are showing here.
Robert Flexon: Yeah, I think when you look at the project particularly environmental and will make all of them a profit category, maintenance is environmentally tolerant, these are projects that are underway so you wouldn't stop or slowdown particularly the environmental which has got content degree that you are working to meet these things are all under construction unless there is a new project that comes forward that has a return profile that is very compelling. What you are seeing here is just a completion of what's been started.
Annie Tsao: And then finally you raise $100 million for 08 EBITDA. What are the drivers to that 100 million?
Clint Freeland: Annie, I think the way to think about it is that the third quarter of the year is an all-time record for NRG and the second quarter before that is the third best quarter of the new NRG. And I think just when you take those together it is just terrific performance better than forecasted. And so when you project out through the end of the year we just think that we will end up with a better year than our mid-year forecast.
Robert Flexon: And Annie I will just add little more color, I would say that also just kind availability being higher and the liability being higher you are getting more opportunities for generation when you need it. And then also as we went into the year, we left a little bit of length on our heat rate position just for peak periods during the summer months which was the right way to go in to the year which were different from the prior year, but was also a good contributor.
Annie Tsao: Thank you.
Clint Freeland: Thank you, Annie. Pamela I think we've gone past the ten o'clock hour, I know many of the people on the call are trying to cover other things today. So, I think we should take one more call then wrap it up.
Operator: Absolutely, sir, thank you. And the final question comes from Neil Mitra [ph] of Simmons. Please proceed sir.
Unidentified Analyst: Hi, thanks. You talked about the increase of challenges of building transmission capacity, can you provide any insight as to how you view the restrictive credit environment impacting announced project within our cost. Specifically on proposed combined cycle in the South and Eastern zones and maybe in the West, for example what chance does announced win project have to coming to online in today's credit markets, but it hasn't already secured our PPA or long-term hedge?
David Crane: Well, thanks. I'll say a few things and of course one of the greatest things that makes the market place is that people are different. But from my point of view the idea that anyone would start a combined cycle plant in Texas, right now are really, it is hard for me to imagine anywhere in the country, where you would start doing a combined cycle plan, into a merchant environment in the current commodity price environment and the current capital cost environment. I think it's choked off total. It is just a question of how far you would be along, if were to always start before you stop. So, we think to the extent that there were a lot of combined cycles plans started, if those people are going forward they have got a very different view from us certainly to the extent that we were looking at building additional combined cycle plants in Texas we have absolutely stopped that effort. Secondly in terms of wind, I think what you're seeing right now and we went through this precise situation in 2002 where right now we are sort of in the construction overhang period where people who are already a little bit too much pregnant with wind and it could be they spend so much money on sites or they have got so many turbines on order with the cancellation fees or something, you are going to see more wind farms starting and finished given the short construction cycle in Texas. But, I think what you are going to see maybe is probably about 12 months from now is in absolutely specific decline in the wind farm starts in West Texas and around the country. Capital expenses there is no off take and you have the transmission congestion that is going to last until... even if credit crisis go forward 2011, 2012.
Unidentified Analyst: At the earliest.
David Crane: At the earliest. So you're probably not seeing it yet, but you are going to see it very soon.
Unidentified Analyst: Okay and it seems like when the public utility commission approved the 18 gigawatt of transmission capacity it had seemed that more than enough capacity would be available on the credit designated zone. Due you think the transmission capacity could be revised in lieu of project calculations within the next year?
David Crane: Yes, I don't want to speak for the Texas regulatory authorities but the cost of the credit system is a substantial cost and the cost of capital isn't just hitting all of us in the private sector, it is going to hit the people who build the transmission lines as well. So, I don't want to get in front of the Texas authorities but would I be surprised if they slowed it down or reduced in size, I would not be surprised.
Unidentified Analyst: Okay, great and just one last question. Last quarter you provided a rather normalized demand update for Texas, do you have anything like that for this quarter?
David Crane: We did?
Clint Freeland: Did we?
David Crane: Yes, we did. We don't have anything on the presentation, Neil, but I mean if you are interested we can give it to you.
Clint Freeland: Just give a sign, I am sorry we don't have that with us today.
Unidentified Analyst: Alright, thank you very much.
David Crane: Okay. And thank you all for participating. We are sorry we took you over. But again we appreciate your interest in NRG. Thank you very much.
Operator: This concludes the NRG Energy third quarter earnings call. Thank you everyone for joining. You may now disconnect. .